Presentation:
Operator: Good morning, and welcome to today's Third Quarter Trading Update to 30th September 2022. My name is Bailey, and I'll be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Stuart Ford, Vice President and Head of Investor Relations. Please go ahead, when you're ready.
Stuart Ford: Many thanks, Bailey. So good morning, everyone, and welcome from me to IHG's conference call for the third quarter of 2022 trading update. So I'm Stuart Ford, the Head of Investor Relations at IHG, and I'm joined this morning by Paul Edgecliffe-Johnson, our Group CFO. Just to remind listeners on the call that in the discussions today, the company may make certain forward-looking statements as defined under US law. Please refer to this morning's announcement and the company's SEC filings for factors that could lead actual results to differ materially from those expressed in or implied by any such forward-looking statements. For research analysts and institutional investors, who are listening via our website, can I remind you that in order to ask questions you will need to dial-in using the details on the bottom of page two of the RNS release. The release together with the usual supplementary data pack can be downloaded from the Results and Presentations section under the Investors tab on ihgplc.com. I'll now hand over the call to Paul.
Paul Edgecliffe-Johnson: Well, thank you, Stuart, and good morning, everyone. Before turning to the trading update, I just wanted to acknowledge the other statement out this morning regarding my stepping down as CFO. It's been a huge privilege to spend almost two decades with IHG and be part of the many achievements and successes that the business has had so far, and to have played a role in setting up a very bright future with the breadth of our portfolio today, our scale and the strength of our enterprise platform. But now is the right time for me personally and professionally to take up a new career opportunity. I will be here for another six months. So in that time, just like today, it is very much business as usual. And when it comes to my leaving, I know that I'm doing so with IHG very well-positioned for further success. With that, let me turn to the subject matter of the call, our third quarter trading update. I will start as usual with a review of our trading performance. You would have seen that we're still providing monthly RevPAR data in our release, as well as giving you both the year-on year movements and the performance relative to 2019. RevPAR for the quarter showed further strong momentum. On a group-wide basis, it was up 28% on last year and up 2.7% on 2019. The latter compares to quarter two, which was down 4.5%, while quarter one was down 17.7%. So we've seen another quarter of excellent sequential improvement. Within the quarter, all three months were positive. In our data, seen through the period and continuing in the most recent weeks since demand has remained robust. And we know from the long history of industry data that there are strong correlations with employment and globally these measures remain high. We also know there is still more recovery to come in segments such as business and group, both of which are making strong progress, but not yet back to 2019 levels on a global basis. Clearly, there is also still more recovery to come in countries such as China, as well as a number of locations in the EMEAA region. Looking at the breakdown of global RevPAR for the quarter, average daily rate was up 11% on 2019, while global occupancy of 68% was down just 6 percentage points. Clearly, leisure has been an important factor in our strong quarter three performance with rooms revenue from this driver up 12% on 2019, but business demand saw global rooms revenue down only 8% in the third quarter, whereas it was down 25% back in the first-quarter of the year. In the US, it was particularly pleasing to see rooms revenue now back to 2019 levels for the business category. Looking now in more detail at our regional performance. For the Americas, RevPAR was up 6.8% versus 2019 and by 6.2% in the US. This represents the first quarter since the start of COVID that the wider region has been stronger than the US, driven by the catch-up in demand from the later timing of restrictions being lifted in Canada and a very strong performance in Latin America and the Caribbean. The Americas region has seen RevPAR ahead of 2019 levels for six straight months now, with September was strongest month to date with RevPAR up 9%. Contributing to that, US Labor Day weekend was ahead of 2019 by 16% and for the quarter overall leisure rooms revenue was 13% higher. As I've mentioned, progress on the recovery across business travel in the US, so rooms revenue get back to flat on 2019 levels for the quarter, whereas it was down 12% back in the first quarter. Revenue from group's activity has similarly recovered well, it was down 14% in the third quarter, which is half the deficit it was in the first quarter of the year. With what's on the books, we can see that in the coming months, group's activity is expected to turn positive on 2019 level. While plenty can change before we get that. It's also the case that both the Thanksgiving week and the December holiday period are tracking to be up on their equivalent 2019 benchmark. As more demand has come back for business and group's activity, together with the return of international travel to the US, the gap has narrowed between urban and non-urban performance. In January, the top 25 US markets were 24 percentage points behind the rest of the country in RevPAR versus 2019. By September, that gap has narrowed to only 8 percentage points with the top 25 markets now up 4% and the rest of the country up 12%. It has also been interesting to see the developments of demand over days of the week as the recovery has become more embedded. Looking at data over the last six months, RevPAR index to 2019 is strongest at weekend as you'd expect. And second strongest on the shoulder nights of Thursday and Sunday. Meanwhile, RevPAR has most recently got back to flat across the week days of Monday to Wednesday. This improvement in Monday to Wednesday has been driven by occupancy rising back towards 2019 levels, whereas rate on those weekdays over the last six months has been stable at around 5% ahead of 2019. This more recent improvement in weekdays performance gives us confidence of more recovery still to come as the world continues to revert back to much the same pattern of doing business as it did before. Moving on now to Europe, Middle-East, Asia and Africa region where RevPAR was back to flat from 2019, a substantial improvement from down 33% in the first quarter of the year and down 10% in quarter two. In the UK, RevPAR was up 7% and in Continental Europe it was up by 11%. Clearly, these markets represent those that have had restrictions fully lifted, and they enjoyed a strong seasonal leisure period. Trading was tougher in Southeast Asia, Korea and Japan, which together are around 20% of our EMEAA system. Here, the return of international travel has been much slower with Japan, for example, only lifting international travel restrictions this month. Finally, moving to Greater China, where there was significant improvement in this latest quarter. RevPAR was down only 20% against 2019, having been down more than 40% in each of the prior two quarters. RevPAR related travel restrictions eased compared to the first half of the year and the RevPAR performance has seen in July and August with the best region has seen for 12 months. However, there were some restrictions reintroduced once again in September and just over 100 hotels were still being repurposed for quarantine use or temporarily closed at the end of the quarter. RevPAR performance in Tier 1 cities continued to be the most impacted in the latest quarter. Whilst these are feeder markets that travel into other domestic locations, Tier 4, which includes a number of key resort destinations was able to achieve RevPAR ahead of 2019 levels. Whilst we don't know what the future pattern of restrictions will be, what we've numerous times is that whenever restrictions are relaxed demand sharply returns thereafter. Turning now to net system size. Just over 8,000 rooms were opened in the quarter, an amount similar to the second quarter and ahead of the 6,600 in the first quarter. Nearly 3,000 rooms were removed in the quarter, equivalent to 0.3% of our system. The underlying removals rate, which excludes the impact of last year's Holiday Inn and Crowne Plaza review as well as our exit from Russia was 1.7% on a year-on year basis, which annualizes to 1.3% year-to-date. We're therefore seeing the expected lower level of removals, which reflects the success of our prior actions to further improve the quality and consistency of our estate. Underlying net system size growth was 2.6% year-on year. You will recall that I talked at the start of the year about targeting for 2022 a net system size growth of 4%, noting that doing so will be stretching. And back in August, I said that given at the half year stage, we were at 3.0%, achieving that target would require a considerable acceleration of openings in the second half of the year. Conditions are opening new hotels have continued to be challenging for the industry, particularly in China. For example, there are around 20 hotels or 3,500 rooms in China that we had originally expected to open in 2022, but which have slipped into next year. We do though still expect openings to step-up in the fourth quarter and we continue to explore a number of organic opportunities to help deliver on our ambitions for net system size growth. Turning to signings, we added more than 13,000 rooms into our pipeline in the quarter, which was similar to the second quarter of this year and also to the third quarter last year. This takes the pipeline to 278,000 rooms, which is an increase of 2.9% year-on year. The strategy we have been following for stimulating growth is evident in the signings performance. Our current system is two-thirds weighted in mid-scale segment and one-third in upscale and luxury. However, of the signings in the quarter, more than half were across upscales and luxury. On a regional basis in the Americas we signed over 5,000 rooms, which was 40% more than the prior quarter and well-ahead of the same two quarters in the last two years. Signings included the first in the region for the Vignette Collection brand, the first all-inclusive property of Kimpton, which will be in Playa del Carmen in Mexico and four more Atwell Suites as momentum builds for this new brand. When we look at signings year-to-date in 2022, we are up more than 40% compared to each of the last two years. Signings this year in the Americas have also continued to push upwards in chain scale terms. Currently, the region is weighted around 80% mid-scale and 20% upscale and luxury, but around a third of signings this year have come from upscale and luxury. In EMEAA, there were 2,500 rooms signed, a drop on the prior quarter. A significant increase in signings is expected in the final quarter of the year though just as we saw last year. We continue to see strong owner interest in conversion opportunities, including multi-brand portfolio deals similar to a number of which we have signed in the EMEAA region over the last 12 months. In Greater China, signings picked up to 5,400 rooms from 4,500 in quarter two, though COVID restrictions still continue to be a challenge to development activity. That said, signings are still outstripped openings by over 2:1 with 39 openings versus 79 signings year-to-date. Although signings in Greater China, as well as 24 Holiday Inn Expresses is been a particularly strong performance with 10 Hotel Indigos and 20 Crowne Plazas added to our pipeline. Finally, just to point you to a few other updates the we included towards the end of today's statement. On the criminal cyber-attack that we suffered in September, we issued an initial announcement when it first occurred and an update statement towards the end of the month. Today's statements just summarizes these for you. Key to our update statement was that no evidence of unauthorized access to systems storing guest data was identified. On the disruption caused to booking channels and revenue generating systems, this first occurred on the 5th of September and two days later by the 7th of September, we had reactivated our websites and mobile app along with most of our other channels and systems. During that time, the hotels continued to operate and were able to take reservations directly. Secondly, on the share buyback, we've included an update, we're currently 59% through the $500 million program, which so far has reduced our share count by just over 3%, the weighted impact for the year of which will benefit our earnings per share calculation. And third, we have included a reminder on our debt facilities and currency exposure. In terms of what we hold in sterling, this is approximately GBP1.6 billion of net-debt for each GBP0.10 movement in cable of the balance sheet date results in a translation impact of approximately $160 million. The movement drove a favorable net foreign-exchange benefit at the half year and if today's rate was the same at the end-of-the year, the translation impact will be closer to $400 million. There's also an equivalent transitional benefit on the interest cost to the bonds, the blended borrowing cost is 3.1% and the annual interest charge is around GBP56 million. So this GBP0.10 movement in the average rate for the year results in the translational impact of approximately $6.6 million. Along with other movements, our adjusted interest expense for the year should therefore be approximately $130 million for 2022 compared to $142 million for 2021. So to summarize the third-quarter. Strong trading has seen our group-wide RevPAR exceed pre-pandemic levels with Americas well ahead and EMEAA broadly flat, but China is still lagging. Net system size growth was 2.6% year-on year on an adjusted basis. We expect openings to pick-up in the final quarter of the year and we continue to explore opportunities to help deliver on our ambitions for net system size growth. The pace of signings driven by a pleasing increase in the Americas led to growth in our pipeline of 3%. With that, I'll now pass this back to Bailey, to open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Jamie Rollo from Morgan Stanley. Please go ahead. Your line is now open.
Jamie Rollo: Thanks. Good morning, everyone. And Paul, congrats on the new role at Flutter. Three questions please. First of all, just on what sort of 4% for this year net unit growth, you talked about organic opportunities in the past the company's signed some sort of lumpy business in terms of alliances with casino operators, US Army hotels, but they've been quite low revenue generation. So I'm just wondering what the sort of fee contribution might be from these organic opportunities whether that should be in line with like normal organic openings? Secondly, you talked a bit about finding stepping up in Q4, but how are you feeling about the sort of 5% net unit growth aspiration for next year? And then finally just on the technology breach, I was really wondering whether there is any implications for the relationships you've got with some of the owners, any sort of additional CapEx you -- what they might need to give in? And also whether there was any impact on your US RevPAR, because I think you said you are up 6%, the market was up more like 12% on the mid-scale, so was there some sort of one-off impact affecting that? Thanks.
Paul Edgecliffe-Johnson: Thanks, Jamie. And, yeah, thank you for your comments on the Flutter movement, but six months still here, so plenty to do. In terms of growth this year, so we're pleased with the openings that we've had and we are really pleased with the success we've had in reducing removals, which I think we know has held back our net unit growth compared to some of the peers. So the work we did last year to remove some of the Holiday Inns and Crowne Plaza is really paying dividends for us. So openings coming through and more openings will come through in the fourth quarter. And then we're working on a number of opportunities where owners are talking to us, because they have seen all the work that we've done on our systems and our enterprise platform, they know we've got the industry-leading tech capabilities. All the work we've done on the loyalty program with the relaunch there. And there's just a lot for them to like and particularly through the pandemic some owners have said, you know, this is just harder than it used to be. So we would like to have access to the platform, in terms of the fee contributions that we would make from a deal like that, yes, they are sort of at or above what we would make on an average room. So this isn't a low value bulking up if you like. And also we have said this is organic, so i.e., we're not going out and sort of buying something. So it's genuine rooms additions, but on a larger basis not done yet. So I can't be 100% certain, it will get done by the end-of-the year, but I am very hopeful, let's put it that way. And in terms of 2023, so there's a lots of rooms in the pipeline, lot of openings coming through. We had some of the China openings still be delayed into next year. And the opportunities I'm talking about for people to join the platform, there are quite a few of them. So I think that this can be almost of another leg to the stool if you like that we can bring in our portfolios that people wanting to access the platform. And I think that can help us get up to those even more aspirational levels of growth. That said, I'd also sort of put their little proviso out there. We've always said we want to have industry-leading levels of net system size growth. So if what industry-leading looks like in 2023, it's lower than five, then that's what we'll be targeting rather than sort of five specifically numerically what some always been important for us is that we are leading the industry. And as we used to when you look at it on a gross basis, we had the highest-level of openings back in 2019 in the industry. In terms of the tech breach, I think the important thing to remember here is that we had to close off some of the booking channels for a short period of time. Hotels were still able to take bookings, so you could call the hotel, turn up at the hotel and make your booking. So we had to close out some of the remote access to systems to ensure that we could get these criminals out of the system. And as I look at the data, it's actually very difficult to tell because we don't have all the competitors numbers to compare against. But I can't see anything that tells me there's been any meaningful revenue shift or any meaningful loss of revenue. So I think different segments have done better depending on how fast they come back and which geographies they're in, but can't see anything in the numbers that tells me that we had any meaningful loss of business.
Jamie Rollo: And the relationships with owners and initial CapEx hope we needed to catch up which?
Paul Edgecliffe-Johnson: Thanks, Jamie. I mean, the owners, I think, understand because they know that all companies are constantly being subject to criminals trying to infiltrate their systems. So I don't think it's news. And in terms of additional CapEx, no, I mean, we have a very strong tech platform. We're in the cloud ahead of our competitors. And so there's an awful lot of investment that's gone in over the years. And which, as you know, some of our largest competitors are now having to face into the need for them to make that investment, but we're ahead on that. So nothing, no further investment required that I've identified to date, at least.
Jamie Rollo: Thank you very much.
Paul Edgecliffe-Johnson: Thanks, Jamie.
Operator: Thank you. The next question today comes from the line of Vicki Stern from Barclays. Please go ahead. Your line is now open.
Vicki Stern: Yeah, good morning. Just firstly coming back on the sort of outlook for openings next year. How are you thinking about signings and openings against the backdrop of higher interest rates now and just generally tough financing? And perhaps you could sort of answer that with a bit of comment on how that plays out differently, perhaps across the different regions, I imagine, US, own a profile slightly different, for example, to those in Asia? And then just related to that what portion of your pipeline is actually financed and actually what does no need to sort of prove to you in terms of financing before you're willing to sign them up? And then just finally on the balance sheet, so you've got potentially an additional $400 million or so of cash, thanks to FX movements. Just how are you thinking about the Group's capacity to use that as we go into next year? You previously mentioned that you are happy to sit at the higher-end of that leverage target range in normal economic times, not sure how normal these are, but just any comments on how we should think about your objective within that range as we look into next year? Thanks.
Paul Edgecliffe-Johnson: Thank you, Vicki. Yeah. So in terms of how owners are going to respond to a higher interest rate environment. I mean, this has gone back to the interest rate environment that I think many of them are used to before we were in a period of super low interest rates. And hotels can make a very strong return. So they can still make even if you're paying debt costs 40 -- 400 basis-points ahead of what it used to be to get debt for either construction finance or permanent debt. You can still make a very good levered IRR in that. The challenge is getting hold of debt. And that is definitely harder than it was. And I don't think that's going to ease up in the very near-term. So what we'll then see is, the best brands are those that are getting the finance, we do have the best brands. And I wanted to have one portfolio of brands to take into an environment like this, it will be ours, because they're very proven on ROI basis. We have a lot of extended-stay brands and brands in the upper and mid-scale and towards the low end of that with Holiday Inn Express in avid, which are very good cash generators. So I think that we're going to do on a relative market share basis very well there. And you are right that the difference of that around the world will be slightly varied because it tends to be mostly in the North American market where owners are accessing to the regional banks versus in Asia, it tends to be more personal relationships with banks and perhaps linked to other business interests, so there may be more access to financing out there. So I think that we'll do well on a relative basis but owners have got to work harder than they used to get access to that debt capital in the US. In terms of the order of how hotel get signed-up and what happened first. So you won't be able to get financing for a hotel project without a brand, lenders won't sign you off without knowing that it's going to be a strong brand. So first of all, the owners will get that franchise contract with us and then I'll go to the lenders and say, look, I'm signed-up with IHG, can we discuss some financing? So that's the sequencing and we don't keep a day-by-day record if you like of how many of the hotels to the pipeline are financed, but we don't sign-up a deal if as we scrutinize it and talk to the owner that we're not confident that they're going to be able to get finance, because it doesn't make sense for us to do so would lockout a location for us. And the owner, remember, has to pay significant signing on fee, when -- which they have to pay to get into the pipeline. So they don't do that lightly. They don't do that without a high degree of confidence that they will be able to get there financing. And then, I guess, on the ISG financing front, then yes as you say, the position we've taken on our corporate debt of keeping that in unhedged sterling has meant that the net debt of the Group has reduced by $400 million over the course of the year with the movements in cable, obviously, the company is highly cash generative and we translate through our EBIT typically to over 100% into cash. So we did the $500 million return at the half year, and we're at 60% or so through that. And we'll have that done by the time we get into the full-year by which point net debt would have fallen both through translation and through the further cash generation of the business. And that clearly gives us capacity within that 2.5 times to 3 times net debt to EBITDA range to make further returns, if that's the call at the time. But we'll certainly have a very strong balance sheet at that point. And where we would choose to go within the 2.5 times to 3 times, I'm not going to guess right now. But our track record of returning surplus cash to owners, I think, it's well understood.
Vicki Stern: Great. Thanks very much.
Paul Edgecliffe-Johnson: Thanks, Vicki.
Operator: Thank you. The next question today comes from the line of Jarrod Castle from UBS. Please go ahead. Your line is now open.
Jarrod Castle: Thank you, and good morning, Paul. Just sort of where are we actually on 2H net unit growth now? I mean, how do you see it? It seems like it's been a bit of slippage there. And then just coming back to the unauthorised attack on your computer systems, there were some reports about lawsuits against the company related to this. Can you give an update there? And then thirdly, just your ability to deal with inflationary pressures and some -- if there has been further measures on the cost-cutting front that would be useful. Thanks.
Paul Edgecliffe-Johnson: Thanks, Jarrod. So in terms of unit growth, I was quite pleased with the openings in the third quarter but there is more to do in the fourth quarter, and there's a lot of hotels those are close to opening. So we need to get those opened by the end of the year. There's lots of hotels kicking in EMEAA that are ready to open and large hotels. So I think we will see a step-up in the fourth-quarter. It is challenging in China with all the restrictions there. And there's 3,500 hotels which are pretty much ready to open, but it's just challenging to get them open right now, so they're just sort of stored up if you like. In terms of lawsuits, one of the realities of doing business in the US is that there will be lawsuits. So I think that's just something that we very used to and it's ordinary course business for us. So I wouldn't read too much into that. In terms of the inflationary environment, well, clearly we want our owners to be making as much money as possible and that the increase in both building materials and operating supplies and equipment and labor costs and all impact on owner profitability. So there's a lot that we do, both through procurement looking at doing global deals with the likes of Unilever to buy Dove, for example, and to secure the supply-chain, but also through our own recruitment channels where we identify talent for a lot of our hotels and pass them on. So there's a lot that we do that to help owners maximize their own profitability. In terms of IHG P&L, as you know, we've been investing into the business for multiple years. And if you think back to sort of 2018, when we restructured the company and then invested back in for growth, I think that yielded really good returns for us. We took $75 million out during the pandemic and actually more than that in 2021. But we said we'll be investing it back into the business to make sure we have the right capabilities. So it's going to get the right balance between being very efficient, but also having enough capability to grow the business at the maximum pace. As I look out into 2023, there will be pressures on wage costs within the business, and about 70% of our costs are people costs, about 15% depreciation and amortization, and 15% of other. Obviously, there won't be any increase in that D&A piece. And labor cost inflation next year, I mean, it's difficult to be precise on that, I've seen a number of companies coming out around the sort of 4% to 5% level. And then there's the measures that we always put in place to manage costs. So I don't think it's particularly different from where we have historically been given the nature of our business. And we actually have a relatively low level pressure from input cost inflation.
Jarrod Castle: Okay. Thanks very much.
Paul Edgecliffe-Johnson: Thanks, Jarrod.
Operator: Thank you. The next question today comes from the line of Leo Carrington from Citi. Please go ahead. Your line is now open.
Leo Carrington: Good morning, Paul. Thank you. Two questions for me. Firstly, can you expand on the ADR trends, please, with some color and perhaps regional color as to how the mix of leisure and sort of corporate rate has evolved through the quarter? And then taken in the mix of your earlier comments on the holiday periods looking good, to what extent do you think November, December RevPAR can resemble September, October’s performance versus 2019? And then as a second brief follow-up on openings, has the Q3 conversions brand mix been similar to that which you saw in H1? And then thinking about 2023, do you think the conversions mix would move north of 30%? Or is 30% sort of the right level for next year? Thank you.
Paul Edgecliffe-Johnson: Thanks, Leo. So I think that really start -- since we started to come out of the pandemic, a lot of the growth has come from rate, and it's been encouraging how the revenue management, discipline and IHG and across the industry has worked so that when there is demand, people have gone for the maximum rates available. I think that's been a very effective strategy. And we see no sign of any loss of pricing power. So each month, rate continues to come through. And as demand continues to increase in all of the segments, so leisure, but also in corporate transient and in group, then it creates more compression and that allows us to continue to be very aggressive in rate. And so, I continue to be encouraged by that. And when I look at my latest data, and I think we all know that booking windows are short in this industry. So what I can see coming through and what I can see coming through in terms of bookings probably only gives you visibility of a few weeks. But demand pricing continues to be very good. So can I be certain of what happens in November, December? Well, I've only got limited visibility, but there's nothing that tells me that we don't see the same trends coming through as we've seen in the third quarter. In terms of conversions, yeah, our conversion brands are performing well. I think we've got now a really good mix of conversion brands that allow us to play in the deep pools of opportunity there. And -- but you want to have the right mix between new build openings and conversions, so what will happen to that rate in 2023. Well, it kind of depends on how many new builds there are as well as how many conversions there are because that will drive the proportionality. 30% is a good number. I'd be quite happy with that. Obviously, if you saw new build significantly slow down, you were getting higher. That isn't how I choose to get there. Conversions obviously do come into the system more rapidly, so they can be very attractive, but so can new builds.
Leo Carrington: Okay. Thank you very much, Paul.
Paul Edgecliffe-Johnson: Thanks, Leo.
Operator: Thank you. [Operator Instructions] The next question today comes from the line of Alex Brignall from Redburn. Please go ahead. Your line is now open.
Alex Brignall: Good morning. Thanks very much. Thanks, Paul. A couple of questions. Firstly, on just the conversions in Q4. One of the big pushbacks this morning has been how that can be sort of eight weeks left and they wouldn't be signed or converted. So I guess anything you can tell us on the nature of how long it would take from the point of signing to turn them into opened IHG-branded hotels would be really, really helpful. And then just maybe a little bit more on the interest rate environment and typically what that has -- what you've seen historically in terms of the impact on the rate of your signings. It's been a long time since we saw sort of quick increases in borrowing costs. And whether it's the case of that being sort of shocked back to the signings in the short term and then sort of no longer-term impact? Or whether it's just sort of a linear impact of that as it goes up, you see a little bit slower signing? Thanks very much.
Paul Edgecliffe-Johnson: Thanks, Alex. Yes. So as I said, we are looking at a number of opportunities. And as you can imagine, with the nature of these sorts of opportunities, I can't be too explicit. But I would be very hopeful that we will be able to get these actually into the system by the end of the year. So to say there's no guarantees because nothing's done until it's done, but that's certainly my intention and ambition, so that we would get at least a high proportion of the rooms from that into the system and such that it would get me up to my targeted aspirational level of 4% for this year. But I totally understand people say, I don't know what it is, so I'd really like some more information. We'll give that to you as soon as we can. In terms of the interest rate environment, as I said earlier, yeah, you've got the combination of the interest rate environment and the actual availability of debt capital from regional banks, which play in. And then you've got owner behavior. So owners would like to get their hotels financed, they'd like to get their hotels opened. What you tend to see is, when there's less financing then there is less supply in the industry. And when you see demand continues to be strong, that means that occupancies go up, rates go up, hotels that are operating do even better. And then those -- owners of those hotels have an even stronger case to bring to credit committees at banks, say, well, look how well my existing hotels are doing. I really want to open up a new hotel because there's an opportunity here. And that strengthens the argument to credit committees. And then they tend to then be keener to lend. So over the last 20 years, I've seen this happen in a few cycles, that you may see periods of demand, less supply and then it equalizes [indiscernible] a lot of lending happen, and you see the supply environment take off again. I can't call exactly when that will happen, but I have no doubt that it will happen in due course.
Alex Brignall: Paul, thank you very much and good luck in the new job.
Paul Edgecliffe-Johnson: Thanks very much, Alex.
Operator: Thank you. There are no additional questions waiting at this time, so I like to pass the conference over to Paul Edgecliffe-Johnson for closing remarks. Please go ahead.
Paul Edgecliffe-Johnson: That's great. Thank you, Bailey. And thanks everybody on the call, and really good to have all the questions. And just to let you know that our fourth quarter update and the financial results for the full year will be out on Tuesday, the 21st of February. So I look forward to talking to you all then, if not before. Bye for now.